Operator: Ladies and gentlemen, thank you for standing by and welcome to the Alumina Half-Year Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I will now like to hand the conference over to your speaker today, Mr. Mike Ferraro, CEO and Managing Director for Alumina. Thank you. Please go ahead.
Mike Ferraro: Thank you, Vincent. Good morning everyone. Welcome to Alumina Limited's results presentation for the 2019 half year. In this presentation, all references to currency are U.S. dollars unless otherwise indicated. Alumina Limited has delivered a strong result for the first-half. Our profit for the half year was $211 million. Net receipts of $265 million from AWAC supported a fully franked dividend of US$4.4 per share. Dividend reflects the impact of prior-year tax payments and lower API prices. AWAC's global tier 1 refining assets continue to generate resilient cash flows for the company. Later I will discuss the market as we see it, but for now, I will handover to our new chief financial officer, Grant Dempsey who will outline AWAC and Alumina Limited's first-half 2019 results.
Grant Dempsey: Thank you, Mike, and good morning. It is my pleasure to present to you all for the first time. I will start with the first-half performance of AWAC and then go through the financial results of Alumina Limited. Coming off an extraordinary 2018 performance on the back of record Alumina prices, AWAC has recorded another strong result for the first-half of 2019 with EBITDA of $950 million and a net profit of $552 million. Cash from operations was $456 million despite covering a significantly higher tax payment of $338 million relating to the 2018 record profit. The fall in the average realized price in the first-half is partially offset by improved operating performance which led to increased Alumina production and contributed to lower cash cost per ton. I will now go through AWAC's performance in a little bit more detail. Improved operating stability helped drive production to a record first-half for the current portfolio of refineries. This was despite lower production at Alumina due to a major overhaul of its boilers. The overhaul is scheduled to be completed by the end of 2019 and will result in increased steam generation and improved boiler reliability. With continued production improvements at all refineries in the second-half, the guidance of $12.6 million tons for 2019 remains unchanged. I am also pleased to report that the Ma'aden refinery in Saudi Arabia exceeded nameplate capacity for the first-half. AWAC's average realized Alumina price declined 12% to $375 per ton which was in line with movements in the market price in the correspondent period. Coming off a record high in 2018, the API was impacted by the ramp up of Alunorte's production after its partial curtailment in 2018 and additional supply from other refineries. While the current Alumina sport price is well below the peak of 2018, it is on par with prices seen in 2017 and significantly above the lows of 2015 and 2016. Given it's Tier 1 low cost refineries, AWAC is well-positioned to delivery returns for the cycle. AWAC's cash cost of Alumina production improved by 3% to $218 per ton. Increased production and the strength of the U.S. dollar had a favorable effect especially at our Western Australian refineries and mines with lower energy and cost of input prices also positively impacting costs for the first-half. Looking forward to the second-half of the year, we expect further cost relief with seasonal reduction of maintenance cost, continued benefits from lower caustic prices, and reduced conversion cost on the back of the current low Australian dollar. High demand from AWAC's refineries led to a 4% increase in bauxite production at its operated mines to $19.9 million. This combined with a stronger U.S. dollar led to a 10% improvement in the cash cost of mining per ton. Given the expected increases in the second-half for third-party bauxite shipments, our guidance for 2019 remains unchanged at 6.2 million tons. Turning to capital expenditure, sustaining CapEx guidance for the full-year remains at $155 million, the forecast high spend for the second-half is driven by the timing of major projects, including residue storage areas and the planning for the Willowdale crusher move. Growth projects for the year include the bottlenecking and boiler upgrade at Alumar, and the evaluation of expansion opportunities at our tier 1 refineries in Western Australia. AWAC's growth CapEx guidance for 2019 has been significantly revised down from $110 million to $55 million. Approximately half of the savings are permanent resulting from eliminating duplicated activities and optimizing resources between the projects. The other savings for the year are largely timing related with the evaluation of the Western Australian growth projects now likely to be completed in the first-half of 2020. In terms of AWAC's full-year outlook, there are no changes to guidance for Alumina production, third-party bauxite sales, or sustaining CapEx. As highlighted earlier, growth CapEx will be significantly reduced due to project savings and the delay of the evaluation of the expansion project. Restructuring costs will also be lower than guided for 2019, due to the additional time required to obtain permits and approvals for the remediation activities. Now let's turn to Alumina Limited's results, in line with AWAC's result, the company recorded a profit of $211 million, down from a record in 2018. Alumina Limited this morning announced a strong fully-franked interim dividend of $0.44 per share payable on the 12 September, 2019. As announced in July, the company redeemed its fix rate note and related cross-currency swaps early, by drawing on the existing bank facility. These facilities were extended and increased to $350 million, providing the company with greater flexibility to support growth opportunities as they arrive. Whilst the Alumina market is subject to fluctuations, we believe it is a positive long-term outlook, driven by demand in aluminum and a broadly balanced aluminum market. We continue to invest in our capabilities to monitor and better understand the market, and along with our partner, evaluate a number promising growth opportunities in AWAC's Tier 1 refineries. Our investment in AWAC's portfolio of low-cost assets together with a strong balance sheet allows us to deliver consistent returns through the cycle, while investing for the long-term. Thank you. And I'll now hand back to Mike, to provide you with an overview of the market.
Mike Ferraro: Thanks, Grant. Let's talk about aluminum to start with. The economic and manufacturing slowdown and trade wars have impacted growth in aluminum demand. We expect growth in global demand of between 1% to 2% over the course of 2019, despite a reduction in demand in China in the first-half. It is pleasing that forecast cost year-on-year growth is positive in all sectors of aluminum demand, except electrical. Increasing exports of semi-finished products from China have reduced demand for primary aluminum outside China. Over the longer term, aluminum demand is expected to grow through steady economic expansion, and increasing intensity of use. Over the first-half of 2019, the aluminum price ranged between $418 and $321 per ton, and AWAC's realized price averaged $375. The aluminum market was broadly balanced in the first-half outside of China and has since moved into a small surplus for two key reasons. First, the expected level of aluminum production did not eventuate largely due to lower aluminum prices. Second, there was a high level of alumina production due to the resumption of Alunorte, the start-up of Al Taweelah in the UAE, and the ramp up of Fria in Guinea. In China, additional alumina production coupled with lower growth in aluminum demand has caused Chinese alumina prices to drop significantly since June 2019. Curtailments due to low prices started in China in July and amounted to 2.5 million tons of alumina capacity per annum. Chinese prices are currently around RMB 2,500 per ton, and if they fall further, it is expected to lead to further curtailments and bring forth maintenance to curb output. We are forecasting a modest surplus of alumina over the reminder of 2019, as alumina growth exceeds middle production both inside and outside China. Here is our forecast of the Chinese alumina supply-demand balance over the next few years. As you can see from the chart, there are small alumina surpluses forecast, around 0.5 million tons are list in each of the next three years. This year China will return to being a net alumina importer. There are number of potential Chinese refining and smelting projects, as shown in the Appendix. However, we believe the actual pace of completion and output will be influenced by Chinese government supply side reforms, actual demand, environmental constraints and price movements. The Chinese government's measures to fight pollution are likely to stay, forcing bauxite mines and alumina refineries to comply with higher environmental standards, with less emission and thus higher costs. The production curtailments due to the red muddy shoes in chancy in May could possibly be repeated, as other alumina refineries in China face similar challenges. A total of 15 in-land refineries are now using imported bauxite by converting production lines to take bauxite, blending imported oil with domestic bauxite, and/or installing sweeping facilities to utilize imported bauxite. Bauxite heading to in-land refineries is forecast to increase by around 12 million tons in 2019, to 16 million tons. This will potentially drive up alumina production costs and provide support for Chinese alumina prices. Starting in 2018, a range of environmental control measures have forced bauxite mines to close in Henan and Shanxi, creating a bauxite shortage in Northern China and driving domestic bauxite prices up. As a result, several in-land refineries have been forced to use imported bauxite. These two factors have impacted the bauxite component of China's alumina cost of production. This would have lead to an overall material increase in the average cost of alumina production in China, not for lower caustic prices, which have dropped 15% since the start of 2019. Henan and Shanxi have surpassed Shandong to become the marginal producing provinces due to higher bauxite costs. China imported 54 million tons of bauxite over the first-half of 2019, compared with nearly 83 million tons over the whole of 2018. Supply from Guinea, met 51% of China's import needs, and imports from Australia totaled 30% percent. Some projects in Guinea, which were thought to be non-competitive appeared to be proceeding; for example, the Kimba [ph] project. Indonesia remains the third largest bauxite exporter to China, consistently exporting over 1 million tons per month, nearly 13% of China's current imports. However, Indonesia is reportedly considering bringing forward a ban on export of unprocessed ore. IMO 2020 regulations aim to reduce sulfur emissions from shipping fuel. They are forecast to drive freight rates higher at least in the short-term, which is likely to put upside pressure on bauxite cost in China. I would also like to make some comments on the company's approach to ESG. We recognize that AWAC has a social license to operate, which requires our operations to be conducted in accordance with the community expectations. This slide shows some of the initiatives Alumina Ltd. and AWAC have progressed, but we recognize this is an ongoing commitment. We are pleased to note that in July, AWACs Brazilian mining operations at Juruti and refining operations at Alunorte received certification from the Aluminum Stewardship Initiative. ASI is a global sustainability certification program for stakeholders in the aluminum industry. Australia has also exceeded rehabilitation targets at the Huntly and Villa Dale bauxite mines in WA. The company progressively rehabilitates as it mines, with strong focus on reducing the cleared footprint over time. Also available on our Web site is detailed information in relation to AWAC storage facilities. In conclusion, the first-half result was a strong performance for our company. Chinese demand for imported bauxite continues at a high growth rate, which is met by ample supply that helps underpin the higher production costs. The short-term outlook is subdued at current alumina prices and high levels of alumina production, which is reflected in the current alumina price of about $300 per ton. This is likely to continue whilst the trade war remain unresolved, barring any supply disruptions. However, we remain positive on the long-term outlook for alumina and aluminum. As a low cost producer in the upstream aluminum supply chain, AWAC is able to generate better margins than most of its peers. Thank you for listening to our presentation. And I'll now hand you back to the operator for questions.
Operator: Thank you. [Operator Instructions] Your first question today comes from the line of Lyndon Fagan from JPMorgan. Please ask your question.
Lyndon Fagan: Thanks very much. Look, the first question is just on the potential for West Australian growth projects. Now that the market is softened, do you think these projects would still be viable, or perhaps under what conditions would you look at the fairing based projects? And then the second question is just on Portland. Maybe just a quick update on the future there in the event that government subsidies don't continue? Thanks.
Grant Dempsey: Thanks, Lyndon. It's Grant Dempsey here. I'll take the first question and probably Mike will take the Portland question. I think in terms of the growth projects, as you're saying, we're working through that for a decision in the first-half of next year with our partner. Obviously, we take into account a number of factors in that, the long-term outlook is a really important factor, the engineering sort of process, and the cost is an important factor. We make that decision through it. I think it should be noted that these are -- while they are exciting growth potential opportunities, it represents sort of less than 10% of the refining sort of network we have in Western Australia. So they're more than the [indiscernible] that we've been doing, but they're not significant new lines or near refineries is the word [ph], and they are at Tier 1 low cost refineries. So I think all of those factors will be taken into account. I think the other thing is they take three years to build their last decade [ph]. So we will take a long-term view both independent of Alcoa and then with Alcoa in terms of view on the market and a view on the returns, and make that decision at the time.
Lyndon Fagan: Can you maybe steer us to the capital intensity for some of these projects? Is it possible to give us a broad range?
Grant Dempsey: I think not really at this stage, because it is part of the engineering process of working through that. It is -- you know, as you appreciate it, sort of optimizing the capacity we're going to increase, there is an engineering process that gets you to the capital intensity. Again, it's a brownfield expansion and not a greenfield expansion. So that comes into making it fairly efficient. It's not a new line. And again, that'll just be part of the process, and I think we're still a number of months away from really defining that.
Mike Ferraro: Lyndon, on Portland, there really is no conclusion on that yet. We're still working through it and in regular discussions with the government looking at obviously the energy options going forward. Right here today, it's difficult to say what that solution is, but we're still working through it, and hopefully we can find something that works at a competitive price going forward.
Lyndon Fagan: Thanks, guys.
Operator: Your next question today comes from the line of Paul Young from Goldman Sachs. Please ask your question.
Paul Young: Good morning, Mike and Grant.
Mike Ferraro: Hi, Paul.
Paul Young: Yes, morning. First question is on unit cost. Putting the benefits of FX aside, just focusing on caustic soda and gas, do you still -- or do you expect to see a benefit in the second-half of this year from, I guess, inventory accounting and the lag on caustic soda processing? And then second question, just on the gas, so obviously you got some contracts, which -- new contracts, which kick-in in 2020. So, we obviously know the cash impact from a P&L perspective, do you expect your unit cost to increase and to maybe what magnitude and dollars dip on in 2020 due to the change in the gas contract mix? Thanks. And I've got a quick few questions on the market that I'll follow-up with.
Grant Dempsey: Thanks, Paul. I'll answer the first part, and Mike might talk on the gas. So, the short answer is yes, I think we do expect some cost benefits flowing through to the second-half of '19. As you pointed out, caustic has a six to nine-month lag based on sort of flowing through inventories and the three months average pricing. So that is still flowing through. We got part of that benefit in the first-half. It's been relatively stable with the market price in the last six months. And I think we're probably, again, if the low Australian dollar continues, we'll get benefits through sort of bauxite and conversion, also noting that the maintenance is skewed towards the first-half. So I think in those three elements, we are expecting some cap relief to continue in the second-half assuming things do the same.
Mike Ferraro: On the gas front, Paul, there will be an increase in price, the impact on cost per ton in 2020, but we haven't disclosed that number. We don't regard it as material, but at this stage, we haven't disclosed.
Paul Young: Okay. Thanks. And a question on the market, and just referring to I think the slide in the pack showing the Chinese cost curve, it reminds just how flat that cost curve is actually, but I guess the point there is, and also [indiscernible] back to the port -- Chinese ports that versus the seaborne market, but that indicates just full intents and purchases of the refinery guys that the $320 a ton is the marginal cost. I guess, the question I have is do you have any view on -- based on your view on input costs books or pricing, sort of what that kind of looks like in 2020? And then secondly, to that, what's your view on long run Chinese marginal cost is, because ultimately, that must come in your thinking on looking at the refinery expansions in WA, and I guess another part to it is, does it occur on the same page, on your long run -- your view on long run marginal cost in China? Thanks.
Mike Ferraro: To answer that last question first, we don't really compare between ourselves and our curve on the long run to us going forward in China. We tend do that independently. So I wouldn't know exactly what their view on the long run is. On the curve for 2020, the Chinese cost curve, now we -- I think we expected to probably -- well, certainly it should increase in the context of book side cost. The question is whether caustic and other costs continue to fall there, and coal costs remained -- energy costs remained flat in the first-half, so expect that to continue. I think in the context of the caustic costs I don't have a view as to whether the caustic will continue to fall. It seems to have leveled out fairly stable period over the last few months, not very long indeed. But I don't have a view on what's going to happen to the caustic market. So overall, I would be expecting that cost curve to stay at least as it is, potentially go a little bit higher.
Paul Young: Okay. So [indiscernible] process probably sitting between, $330 and $350, do you have a view on that consensus longer [ph]?
Mike Ferraro: We do have a long range view, which we don't disclose, but I think you're probably in the range, Lyndon?
Paul Young: Yes. Good question, Lyndon. I'll pass it on.
Mike Ferraro: Sorry, Paul.
Paul Young: That's great guys. I'll pass it on.
Operator: Your next question today comes to the line of Paul McTaggart from Citigroup. Please ask your question.
Paul McTaggart: Well, [indiscernible] confusing with two Pauls. So, look guys, I just want to follow-on. So in terms of restructuring costs, you had given low guidance for the year ahead. Is that just deferment? Is that just the restructuring cost you're going to roll on to next period, or is that sort of a [indiscernible] reduction? I know you talked about delays in July, so I'm going to assume that rollover. And just in terms of the growth CapEx as well, so you said that there was 50 million sizing or roughly half of that saving, which was sort of permanent, I just want to understand how that's come about?
Grant Dempsey: Sure. On the restructuring cost, yes, I think it's largely just driven by the time it takes to get the permits and approvals taking slightly longer than we planned. So that does just differ, and it's a timing difference. In terms of the growth CapEx, look, the simplest way of sort of explaining it is we looked at these two projects or budgeted these two projects almost independently of each other, which they are obviously independent projects in terms of the refineries and WA, but as we got into it, it made a lot of sense to look at the efficiencies between them in terms of overlap of people's skills of assessments of engineering processes. So in that, with sort of sequences would actually also cause some of the delay in terms of sequencing these things in a smart way between the projects, and that's just resulted in savings of sort of north of $20 million. Those project evaluations are still going ahead, slightly delayed, but they're going ahead in a more efficient way.
Paul McTaggart: Thanks, gents.
Operator: Your next question today comes from the line of Peter O'Connor from Shaw. Please ask your question.
Peter O'Connor: Good morning, Mike, Grant.
Mike Ferraro: Hi, Peter.
Peter O'Connor: Just following up on the -– question, so in your presentation, Mike, you mentioned, I think Grant as well, several times at least the positive outlook for both the market and I guess the company, and I would concur that the hesitancy you've given when asked about growth in Q&A session, it seems like your view that you put to us definitely marry up with what you've seen, until the projects coming up. And just as an adjunct to that, if you get to a decision point next year in the first-half, can you go your separate ways? Does it have to be unanimous decision without color, or is that something you can build separately or does it just have to be done together?
Mike Ferraro: Oh, Peter, I apologize if we created the view that we're more hesitant about growth longer term in Q&A, compared to what we said in the presentation. That's not the case. We do believe in the aluminum story longer term for a whole range of reasons, including not replacing plastic, which has created environmental problems, lower energy consumption, the recycling of aluminum, which will require quite a lot of significant primary aluminum to make future demand in all range of sectors. So, you could easily sit back and take the short-term view is why would you expand capacity in aluminum production now if there is an over-supplied market at the moment, but I -- we don't think it's significant. We did talk about trade wars having an impact, but that's not the long-term position. Ultimately, the market will improve, the underlying fundamentals for aluminum and alumina are there, the structural issues associated with building aluminum capacity outside of China, I've covered previously, you know, the barriers to entry from a cost perspective from access to resource are high. So we think we're still positive on the long-term outlook. So, the short-term blips in supply and price doesn't dissuade us from continuing our evaluation and what we should be doing on a go-forward basis.
Peter O'Connor: So, Mike, given that -– just given the industry as metals and mining is typically pro-cyclical, you're proposing a view of the world, which I agree with, so should you be countercyclical and whatever the short-term blips are, this growth credit should go, because you should be investing when times are…
Mike Ferraro: I think it should because certainly -- and I've been around the [indiscernible] and other organizations as well in the sector, and inevitably, people kick themselves and say, "Well, I did not make that investment when the market was down. It's costing a lot more and been taking a lot longer to come to market now that I've missed the opportunity." So it is a good -- and the fact that it takes two or three years to build the sort of projects that we're contemplating just make sense to not to be dissuaded by short-term slowdowns.
Peter O'Connor: So my take on that is that you're supportive view you will be likely to move towards a great project if that project doesn't agree…
Mike Ferraro: Provided the economic stack-up, yes.
Peter O'Connor: Does that economic stack-up driven by price or by the CapEx to do it?
Mike Ferraro: Probably a combination of both.
Grant Dempsey: And yes, it's the long-term returns, and I think that's probably some of the hesitation you heard early in the Q&A was we want to respect the process of the evaluation we were going through and as you said, Alcoa have to make their own evaluation and we do as independently. And it's just -- it's the long-term return, which is based on price and cap. And I think the other thing to remember and this is -- these are at -- we're looking at [indiscernible] lowest cost refineries. So yes, and in fact, the projects, I think will ultimately potentially lower the cap of those refineries and make them even more relatively low cost to the market. So, we will factor those in and the capital intensity is very, very important part of that process.
Peter O'Connor: Given the cost curve you've shown, and since there's a lot of margin load returning, I'm just surprised and [indiscernible] a bit, can you go simply to Alcoa or just have to be all-in?
Mike Ferraro: This is a joint decision. So, we have to decide together to proceed with any expansion in bauxite, or aluminum refining.
Peter O'Connor: Okay. Thanks, Mike. Thanks, Grant.
Mike Ferraro: You're welcome.
Operator: [Operator Instructions] I see we have no further questions on the line today. I will now hand the conference back to Mike for closing remarks.
Mike Ferraro: Thank you for making the time to listen to our presentation today, and look forward to meeting with some of you over the next few days. Thanks very much. Thank you.
Operator: Thank you. And ladies and gentlemen, that does conclude our call for today. We thank you all for your participation. You may now disconnect.